William Lundin: Okay. So welcome, everybody, to IPC’s Third Quarter Results Update Presentation. I’m William Lundin, the CEO, and joining me in presenting this morning is Christophe Nerguararian, our CFO. I’ll begin with the highlights and touch on the operational performance of our assets, then pass it to Christophe for a more detailed overview of the financial numbers. Following that, we’ll open up the floor to take questions, which can be submitted via conference call or by the web. So getting right into it in the highlights for the third quarter of this year. IPC delivered an average production of 45,000 barrels of oil equivalent per day, which is in line with the forecast range for the quarter. Our full year 2024 production guidance is maintained at 46,000 to 48,000 barrels of oil equivalent per day. On the operating cost front, the Q3 OpEx per BOE was $17.90, slightly below guidance. And we’ve taken the opportunity to revise our full year operating expenditure per BOE for this year at below $18 per BOE. On the organic growth side, it is a peak investment year for the company where we expect to spend $437 million. That number is unchanged since CMD. In Q3, we spent $102 million and $82 million of that $102 million was incurred at the Blackrod Phase 1 development project. For operating cash flow in Q3, the business delivered $73 million. And the full year forecast is expected to be between $335 million to $342 million with a tightened outlook between $70 to $80 Brent for the remainder of the year. Q3 free cash flow was minus $38 million or a positive $44 million, excluding the Blackrod growth spend. Similarly to the OCF, we’ve tightened the free cash flow range for the full year between minus $140 million to minus $133 million between $70 and $80 Brent for the remainder of the year. Balance sheet is in good shape. Our net debt is at $157 million, so a slight build relative to the prior quarter, largely attributed to the growth spend at Blackrod as well as share buybacks that continued throughout the third quarter. Gross cash resources available to the company is just shy of $300 million. And the hedges for 2024 that we have in place is about 70% of our WTI to WCS differential exposure is at $15 a barrel. We also have about 50% of our Canadian crude hedged at a WTI level at $80 Brent for the second half of this year. And our Brent-linked production, about 50% of that is hedged for the second half of this year at $85 dated Brent. We also elected to add some gas hedges for the remainder of this year. We have about 14.5 million SCUFs hedged at just under CAD1.60 per Mcf. On the sustainability side, pleased to share there were no material safety incidents reported or recorded in the quarter. And we’re well on track to achieve our net emissions intensity reduction target come 2025, which was extended to and through to the end of 2028, which was announced at our Capital Markets Day earlier this year. On the share repurchase side, as at the end of September, we purchased 7.5 million shares under the normal course issuer bid program. So we’re well on track to fulfill that buyback program, and we’re pleased to share that we have received Board approval to renew the NCIB program come early December of this year. On to the production. The 2024 production, again, as I stated, for the third quarter was 45,000 barrels of oil equivalent per day. We’re pleased to share that the planned turnaround activity at Onion Lake Thermal was successfully completed. That was a 14-day turnaround with a lot of activity that took place. In the third quarter, we also saw continued weakness on gas prices, which translated into reduced optimization activity at our Suffield gas assets. And on the international side, the assets continued to deliver robust production. We had a planned turnaround that was also completed at Bertam successfully. And as you can see on the production chart, we have recovered production levels since the planned maintenance activity took place in September. So the year-to-date production in 2024, taking into account the first 3 quarters is 47,400 BOEs per day. We’re well positioned to deliver within our CMD guidance of 46,000 to 48,000 BOEs per day with about 14% of our production being Brent weighted from Malaysia and France. A one-third of our production mix is natural gas weighted and the remaining percentage of our production mix is largely heavy Canadian crude. And what’s important to note as well on the bar chart shown on this slide, it shows the prior years of our production performance relative to our guidance. So every year, the company has had the ability to deliver within or above production guidance, and we see no change to that going forward as well for this year in 2024. Moving on to the operating cash flow. So Q3, again, was $73 million generated by the business. The year-to-date OCF generation is about $264 million, and that’s been at an average differential between Brent to WTI of $5 a barrel and from WTI to WCS between $16 a barrel in the average year-to-date. So we’re well in line to deliver our cash flow that we had forecasted at the beginning of the year, where we expect now to generate between $335 million to $342 million between $70 to $80 Brent for the year. On the capital expenditure front, there is a significant amount of CapEx deployed this year. It’s largely targeted towards the Blackrod asset, but also further supplemented by some oil well drilling in the Southern Alberta assets we have in Canada. Year-to-date CapEx and ARO incurred is about $313 million and about $245 million so far through 2024 has been spent at the Blackrod Phase 1 project. So our full year guidance of $437 million is unchanged for 2024 as we look to have a big spend quarter in this quarter 4. So with the CapEx taken into account our free cash flow generation, year-to-date free cash flow is $171 million, excluding Blackrod and including the growth CapEx at Blackrod is minus $74 million. So the full year forecast for 2024 free cash flow, excluding the growth CapEx on the right-hand side of the slide, is expected to be between $220 million to $230 million, highlighting the cash flow generative ability of the base business producing assets. Taking into account the growth CapEx, we expect to be between minus $133 million to minus $140 million, which is in line with expectation that we went out with at Capital Markets Day. The share repurchase program, so we have repurchased just shy of 70 million shares since the company was formed and the average repurchase price of all the shares that have been purchased and canceled by the company is at SEK 71 per share or CAD9.5 per share, which is well below our current share price. As I had stated, we are on track to complete our 2023-2024 normal course issuer bid program in November and very pleased again to share that we have approval to renew our normal course issuer bid program in December of this year, where we expect to be able to repurchase another 7 million shares under that program. So it’s really optimal timing for the company to be canceling out our share. Since 2022, around 25% of our shares outstanding have been repurchased and canceled in parallel with significantly increasing the value of our business since we were originally formed in 2017, which shows on the highlights on the right-hand side of this slide. We’ve increased production fivefold since we began life in 2017. Our 2P reserves has increased more than 16x. We’ve added 19 years to our 2P reserves life index, increased our contingent resources by in excess of a billion barrels of oil equivalent and added a significant amount of net asset value in excess of $2.5 billion. So our net asset value as at the beginning of 2024 corresponds to a fair share price of CAD32 per share or in excess of SEK 240 per share. And current levels where we’re trading at represent in excess of a 50% discount. So again, as I had stated in previous quarterly reporting periods, this really underpins the reason why our shareholder returns are guided towards share buybacks versus dividends, and we intend to continue doing that provided we keep trading at this discount relative to our intrinsic value. Moving on to the Blackrod Phase 1 development. A picture says a thousand words, and that’s why we’ve made it a key component of our updating periods to provide more pictures as this asset continues to change on a daily basis with more activity taking place. Responsible development continues and really pleased to share as prime contractor at the site, no material safety incidents have been taken place since we sanctioned this project in early 2023. So the teams have done a tremendous job staying vigilant and enforcing our strong safety culture with the vendors who are onboarded at site. This project is well in line with the overall schedule and budget, which is a total installed cost of $850 million to first oil in 2026. So since this project has been sanctioned, we’ve spent around $485 million and the overall activities continue to progress in line with plan. The facility construction continues to see good progress. As you can see on the picture at the bottom left-hand side of the slide, an aerial shot of the plot plan. You can see a lot of activity and moving parts there. We have a lot of packaged equipment that’s been delivered to site and over 300 pieces of equipment have been ordered. So the procurement is well on track here and moving up to the top right-hand picture of the slide, you can see one of the inlet degassers, so one of our process modules being delivered to site. And further on in the pictures below that, the tank farms pretty much fully erected at this point in time. We have pipe rack modules being delivered to site and things continue to ramp up as well on the civil work side with the access road being largely completed at this point in time. Some piling works is still taking place in anticipation of modules to be delivered within the central processing facility area. On the drilling side, we’re advancing at a great rate here. We’re still on the second super pad here where we’re drilling 16 well pairs. Our first production pad, which is 14 well pairs at Pad B is largely finished. And now the second super pad is about 50% complete, which is 16 well pairs. So that continues to progress in line, if not ahead of expectation. And looking at the schedule now for Blackrod, again, it’s all coming together this year with the peak investment program, touched on the civil works and the road works largely being completed at this point in time. The facilities work scope continues to move in accordance with plan, detailed sequencing of events and turning around the equipment from the fabrication shop to site is key to the success of the overall build of this project. And the drilling continues to go well. Our midstream pipelines are also progressing and tracking along as expected. So we’re expecting to be commissioning during the winter period of 2025, 2026 with first steam to follow around Q1 of 2026 and first oil expected later on in 2026. So the transformational growth project continues to progress in line with expectation overall here, and it’s going to take IPC to new heights upon it coming on stream. Moving on to Onion Lake Thermal. As I had mentioned at the beginning of the presentation, we had a significant turnaround, which was planned every 3 years, you do a compliance-driven turnaround. This is a 14-day shutdown that happened and all the activities that were planned to take place were completed and pleased to share that we have restored production at this asset and increasing in excess of 12,000 barrels per day. We continue to ramp up the latest production sustaining Pad L wells, where we have 2 more wells to be tied on and put on stream. Within the Suffield area assets, we continue to offset our historical decline rates through development and low-cost optimization works as is shown on both production plots when we acquired the Suffield area assets, not a lot of capital investment had been deployed into them. You can see the pre-acquisition decline rate has been largely offset through the smart money that’s been deployed by IPC here. And the step-up in production in 2023 in oil production specifically comes from the Cor4 acquisition that we did at the beginning of 2023. We continue to focus on drilling up the Ellerslie formation. We elected to include 3 additional wells to be drilled this year, bringing the total of wells from 5 to 8. About 5 of these wells are online at this point in time and performing in line with expectation. The other assets within the Canada portfolio are shown on the map of this Slide 14. So we continue to have some contribution in production, specifically coming from our Ferguson asset, where we drilled 3 wells earlier this year, and we’re also seeing a response from the Phase 2 polymer flood at the Mooney asset. So we’re doing around 4,000 barrels of oil equivalent per day at these other Canadian assets within the portfolio. Moving across the pond to Malaysia, continued to get high-quality, high netback results from the production in Malaysia. We had a successful completion of planned maintenance in Q3 during September. Operational excellence continues and the teams do a phenomenal job at maintaining high uptimes, excluding planned maintenance, we’re continuing to see in excess of 99% uptimes. We had one lifting take place during Q3, where we had 2 liftings in Q2 as per comparison. So that’s a part of the reason for the cash flow results being slightly softer relative to the second quarter levels. In France, we continue to have stable operations in France, delivering robust free cash flow to IPC, continue to assess the additional undeveloped potential here, building on the good results achieved from our 2023 campaign. Looking forward into our sustainability overview, as I had mentioned, very pleased to share no material safety incidents year-to-date for IPC, well on track to achieve our net emissions intensity target of 50% come 2025, which we’ll look to maintain through to the end of 2028. And also to note, which was mentioned in Q1 as well, we were assessed under S&P Corporate Sustainability Assessment and ESG ratings agency, and we ranked within the top 11% of all the companies that were screened within the peer group. So pleased to again share that highlight and a testament to the good work that is taking place across the IPC portfolio and the sustainability teams are leading. So with that, I will pass it over to Christophe to touch on the financial highlights.
Christophe Nerguararian: Yeah. Thank you very much, Will. And yeah, indeed, a solid quarter. So we had an anticipated drop in production, which, as Will mentioned, was driven by regulatory turnaround at Onion Lake Thermal in September, and there was a much shorter shutdown at Bertam for a couple of days. So with 45,000 of barrels of oil equivalent per day on average this quarter, we are maintaining our full year guidance of between 46,000 and 48,000 barrels of oil equivalent per day for the full year. The oil prices were a bit volatile in Q3 with a drop of $11 per barrel between July and September, going from $85 to $74. The gas prices were quite low in Canada, and they’re picking up slightly now. And so we’re expecting moving into the winter that gas prices will come above CAD1, if not CAD2 per Mcf, but they were on average below CAD1. And so that has driven some lower revenues, although we benefited from the hedges we put in place for roughly 50% of our Brent and WTI oil production exposure. So with gas prices relatively low, that reduced a bit the OpEx per barrel. So we had operating costs at $18, which was below our expectations. And so now we are reguiding for the full year our operating cost per BOE just below the low end of the previous range. So we had guided $18 to $19. We’re guiding now below $18 per BOE for the full year. So in that context, the cash flows were actually very good, $73 million this quarter for the operating cash flow, $68 for EBITDA. And with more than $100 million spent on CapEx, 80% being dedicated to the Blackrod Phase 1 development, that we generated a negative free cash flow of $38 million for that quarter, which would have been positive $40 million if you didn’t include the CapEx for Blackrod. The balance sheet is in a very strong place where at the end of September, we still had $300 million of cash on the balance sheet. And so that translates into a net debt of $157 million. You can see on that slide for realized prices that on average Brent was – for Q3 was $80 per barrel. But as I said, it was volatile. So in Malaysia, we unfortunately sold our cargo in September. So the cargo sold at a significant premium to Brent, more than $6, but actually, the Brent averaged $74 in September. So it looks like we sold on par with the average of the Brent for the quarter, but we sold at a premium. I can assure you with that. In France and Canada, on the other hand, it’s, I would say, business as usual. In France, we’re selling on parity with Brent. And in Canada, we are selling in this instance, for Suffield and Onion Lake on parity with WCS. In terms of gas prices, as I mentioned already in the previous quarter, there’s a bit of a disconnect now between Canadian and U.S. Henry Hub gas prices. The injection has been quite high. So the storage level in Canada are quite high in anticipation of LNG Canada coming on stream. And so you can see that the realized prices in the third quarter was below CAD1 per Mcf, the lowest ever for IPC. But we’re hopeful that with winter coming and LNG Canada being commissioned in the next few months, increasing to a probably full ramp-up by next summer. We anticipate gas prices to firm up a bit, but it’s going to take some months to unwind given the high storage levels. The financial results. So if you compare the operating cash flow and the EBITDA for the first 9 months compared to last year, the third quarter was weaker because the third quarter in 2023 saw some very strong oil prices. Now if you look year-to-date and you don’t look at the – on a quarter-over-quarter basis, the levels are quite similar. So year-to-date for this year, both operating cash flows and EBITDA are around $260 million, whereas it was $280 million last year. Operating costs. So I mentioned the good news is that the operating costs are lower than expected. The bad news is that the operating costs are lower than expected because that was driven by reasonably low gas prices. Now that being said, we’ve revised our guidance for the full year at below $18 per BOE for the full year, and that was driven really by lower gas prices, lower electricity costs, lower chemical costs and some lower activity at Suffield Gas as well. The increase this quarter on the dollar per BOE basis was mostly driven or simply driven by the reasonably lower production. In terms of netbacks, so you can see that this quarter was a bit lower. But year-to-date, the netbacks, both on an operating cash flow basis or on an EBITDA basis were around $20 per BOE, which is really good. In terms of net debt evolution, so we generated an operating cash flow of $264 million for the first 9 months. So that’s covering most but not all of our development CapEx and AbEx. But then beyond the CapEx, the most significant items to fund of the first 9 months were the share buyback, where we bought back EUR 81 million of RON shares and canceled all of those shares and a change in working capital, which was mostly driven by high payables at the end of last year. We had a very, very high level of activity at Blackrod, very high level of activity in Malaysia, but the invoices came and were paid in January and February. And those were much higher than the payables at the end of September. So that translated into a change in working capital of EUR 60 million. Though as you can see, the cash G&A component or the net cash financial items together less than $25 million are fairly small in the context of how much cash flows we generate. Looking more into the details of G&A and financial items. So the financial items are very stable. Most of our finance costs are the coupon we pay to the bondholders. We have $450 million of bonds outstanding. The reason why the net financing costs have increased a bit this quarter is simply due to the fact that our cash position went from $370 million down to $300 million. And so the finance income was slightly lower, but otherwise, extremely stable finance costs. And the G&A remained very stable at around $4 million per quarter or less than $1 per BOE at the business level – at the group level, sorry. So looking at the financial results, we generated close to $600 million in revenues. The cash margin was $270 million, gross profit, $167 million, and we posted a very strong net result already for the first 9 months in excess of $100 million. Looking at the balance sheet, so the total assets at the end of September was just above 2 billion. And if you compare the balance sheet at the end of last year and at the end of September this year, you can see that the main change was really our cash position being reduced by roughly $200 million and the value of our oil and gas assets increased by almost the same $200 million. Our capital structure remains very strong, robust, solid, whichever way you want to look at it. It’s been stable, almost no change. The only change to make our balance sheet even stronger is that we entered into a letter of credit facility under which we have all of our letters of credit. And what that means, it’s an unsecured facility where the letters of credit are issued by a Canadian bank and guaranteed by Export Development Bank of Canada. The importance of that point is that it frees up all of our Canadian revolving credit facility. So the CAD180 million of revolver are fully committed, fully available and fully undrawn as well. So the business is in a strong position from a liquidity perspective. In terms of hedges, so you really had two sides to this. The good news or not so fortunate news, but actually most of our oil and gas hedges paid off this quarter because we had hedged oil Brent volumes at 85 and WTI volumes at 80. So those hedges translated into a positive results and income in this third quarter. On the FX side, we lost a bit on the $CADbecause the Canadian dollar was very weak against the U.S. dollar this quarter and remains weak, but which is generally a positive because it means our OpEx and CapEx in Canada are comparatively cheaper in U.S. dollar terms. For next year, we anticipate a reasonably strong – no, nowhere near as big as this year, but we anticipate a reasonably strong investment here again. And so even if we are not pessimistic on oil prices, we felt it was prudent to hedge a bit of the differential going into next year. So we hedged around 40% of our production at minus $14 per barrel, and we’ve hedged 2,500 barrels a day of WTI production at $70. And that concludes my part. I will leave Will to conclude.
William Lundin: Thanks, Christophe. And again, to summarize the highlights year-to-date, record investment year. We spent $313 million since the beginning of the year. Full year guidance is maintained at $437 million for CapEx as well as AbEx. Production year-to-date is 47.400 barrels of oil equivalent per day. So our full year guidance is maintained at 46,000 to 48,000 BOEs per day. Operating costs year-to-date are $16.5 per BOE. So we have reguided our full year operating expenditure per BOE to be less than $18 a barrel for 2024. Cash flow generation, operating cash flow is $264 million through the first 9 months of the year and free cash flow is minus $74 million. The full year guidance for operating cash flow generation is expected to be $335 million to $342 million. The balance sheet has a net debt of $157 million and gross cash resources of just shy of $300 million. We also have liquidity through CAD180 million, as Christophe touched on, on the revolver credit facility in Canada. No safety incidents year-to-date and our share repurchase program is well underway to be completed the 2023-2024 program and the renewal of that is expected on December 5 of this year, where we intend to continue buying back shares under that program. So with that, I will open it up to questions, which we can start from conference call.
Operator: [Operator Instructions] We will take our first question from Teodor Nilsen from SB1 Markets. Your line is open. Please go ahead.
Teodor Nilsen: Good morning, Will and Christophe. Thanks for taking my question. Three questions from me. You highlight that 2024 will be a peak CapEx year. How should we think around 2025 CapEx? How much lower should we expect 2025 CapEx to be compared to 2024? Second question is on share repurchase. I see now that the dilution is only 6%. How do you think around the share repurchase when the share count is down to 0% dilution? Will it then slow down the repurchase or just continue in the same pace as now? And third and final question that is on focus going forward, like in 2 years’ time, you probably – you are about to have delivered the Blackrod’s project, hopefully on time and on budget. So I just wonder, as a CEO Will, what will be your focus after Blackrod? Will there be a new big project? Or will – should we expect IPC to become a cash…
William Lundin: Okay. Thank you, Teodor. As we look forward to the capital expenditure program in 2025, we will be meeting with the Board of Directors at the end of this year to confirm our work program and budget. We haven’t given specific 2025 CapEx guidance yet. So that will be something that will come around Capital Markets Day. Now with Blackrod, the majority of the CapEx for this project will have been spent by the end of this year since it was sanctioned in early 2023. So we expect to be around two-thirds to around 70% roughly spent of the total budget of $850 million on the Blackrod project. Therefore, there will be around $250 million remaining depending on if there’s any rephasing at the end of this year. So you can expect that the CapEx program for 2025 is likely to be around $250 million or in excess of that just at Blackrod alone. And so that’s a general guide. But until we get formal approval for the work program and budget, I am a bit hesitant to provide any further details on that. For the share buyback question, as you had noted, we are at around 6% share dilution since the company was formed, and of course, materially increased the overall value of the business through prudent operational management of our assets as well as through executing accretive acquisitions. We don’t have a specific share count reduction target number. As we have mentioned before, we are focused on maximizing the value for our shareholders here in this business. And provided we continue to trade at a steep discount as we are, the form of shareholder returns will go towards buybacks rather than dividends. So, is there a scenario down the line here where we actually go below zero on Blackrod coming on stream that could be a situation if we continue to trade at that steep discount, so we continue to assess where the company is trading, what our underlying value is and dictate our shareholder returns on that basis. As we look towards Blackrod, and you are right, there it’s tracking very well. We are getting closer and closer to this project coming on stream, which is very exciting. And for a focus for IPC, it’s – again, we feel we have the ability to do it all as we have been. And when I say do it all, I think of organic growth, we are developing Blackrod now. We think of shareholder returns. We are buying back our stock. We think of M&A. we have done five accretive acquisitions since the company was formed and most recently was in 2023 with the Cor4 acquisition. So, we did that at a time when the Blackrod project was also sanctioned. So, I think we will have the ability to continue to grow organically, whether that would be future phase expansions at Blackrod, maintain our shareholder returns, either in buybacks or dividends and also look to grow through accretive acquisitions on the M&A market. But one can be rest assured that with the owner-operator mentality here, we are going to do everything in our ability to maximize the value of this portfolio.
Teodor Nilsen: Okay. Thank you.
Operator: Thank you. We will take our next question from Tom Erik Kristiansen from Pareto. Your line is open.
Tom Erik Kristiansen: Thank you for taking my question. One for Will and one for Christophe, so Will, we now have more than 50% of the CapEx for Blackrod behind you, balance sheet remains strong and you keep hedging. Are you setting up the capability to do more M&A next year as well? And do you see more opportunities with the current volatility in the oil market, or is it too early to see anything in that market yet? And for Christophe, long-term, if you look beyond the spend now at Blackrod say when you stand there in 2027, how should we think about the correct debt level for IPC on a going-forward basis? Is there a scope to increase net leverage once that call it risk is behind you and thereby either grow more rapidly or dividend out or buyback more shares? Thank you.
William Lundin: Thank you. Thanks for the question there. And to your point around the M&A and some hedges that have been taken by the company, when we think about M&A, sometimes a little bit of volatility in the market supports that where we hope that there can be high-quality assets shed for a discount, and we can be in the right place at the right time to pick that up. Now, it’s a bit of a cliche answer, but we remain opportunistic to growing through M&A. So, we stay active reviewing and screening opportunities and provided the right asset opens up on the market, and we can execute a deal without stressing the company’s balance sheet too much, then we will be open towards looking at that. And looking further ahead to Blackrod 2026, 2027 coming on stream in terms of what our projected leverage ratio or net debt is going to be. I mean that’s largely going to be subject to market conditions and oil prices. So, it’s hard to give a specific number at this point in time. What I can say is that the company is sitting very well at this time in a financially robust position. And so as we get Blackrod coming on stream, the amount of free cash flow generation is going to be very significant to the business. We are going to have the ability to rapidly pay down our debt whilst looking to also grow through M&A further and massive war chest as well as try and maintain shareholder returns as well. So, again, similar to the question that was asked prior, we look to try and do it all.
Tom Erik Kristiansen: Okay. Thank you.
William Lundin: Thank you.
Operator: [Operator Instructions] We will take our next question from Mark Wilson from Jefferies. Your line is open.
Mark Wilson: Yes. Thank you very much. Excellent operations as ever across the portfolio and including your international assets, and you highlighted the Brent-linked realized prices for Malaysia and France. Could you just remind us of the strategic angle for keeping those international assets in the overall portfolio? Is it this Brent hedge versus Canadian commodity prices, obviously, very low gas in the past quarter? Is that the reason, or is it to keep an international angle to the business for potentially a future growth in that business? That would be my first question. Thank you.
William Lundin: Thanks Mark. So, the Malaysian and French assets that we have in the portfolio were, of course the foundational assets that IPC began life with upon the non-Norwegian assets being spun off from Lundin Energy. And these assets have really supported IPC to put us in a position where we are today and in growing the business. They have delivered a lot of free cash flow over the years and continue to do so with the high-quality Brent-linked production. With these assets, we look to continue to generate optimal returns from them, and they both have very intriguing undeveloped opportunities sitting within their contingent resource categories that we look to continue to mature. In terms of the overall value within the portfolio, it’s just shy of SEK20 per share out of the around SEK240 per share fair value based on our 2P reserves as of year-end 2023. So, there is still a lot of value in these assets, and we remain opportunistic. And if we have the ability to grow in the jurisdictions where we operate in and namely in Malaysia, it makes a lot of sense to leverage the connections that we have with the government there as well as utilize the best-in-class teams that we have overall in the region. So, these assets are high quality in nature and deliver robust free cash flow to the business, and we look forward to continue to maximize the value of them.
Mark Wilson: Okay. Thank you. I was actually going to ask what percentage of the NAV they are, but you have already done that, so thank you very much. Can I – just one more. Can I ask Christophe about that the gas outlook commentary that you gave, please, on the hedging, if you could just comment on that for the Canada gas. Thank you.
Christophe Nerguararian: Yes. No, the gas prices are currently fairly low, as I mentioned, and that’s derived from the very high storage level you have seen in Alberta with some high injection rates over the last few months. The good news is that some gas producers are self-constraining their own production. And with LNG Canada coming on stream probably towards the end of this year with a progressive ramp-up until next summer, we were anticipating as the forward curve does that gas prices are going to rebound, so that’s one. And the other element is that we have seen quite a high volatility in oil prices. And so we felt it was prudent to hedge a tiny bit of our WTI exposure. We don’t love, but we don’t hate the $70 level, if you wish, for WTI, which is around where we are. It’s gone below $70 in the last few weeks. And so we are probably going to layer in some more hedges whenever there is an oil spike on the markets. We like the idea of securing some of our operating cash flow for next year. As Will mentioned, it’s too early to disclose what our CapEx budget will be for next year. It will be lower than this year, but it will still be significant. And so as we communicated over the last few quarters, few years, we are not in the business usually of imposing our hedging strategy to our investors, but we would do some of that when we have reasonably high CapEx or high debt maturities. And the CapEx will still be there. Again, it’s good news that we are going to spend CapEx next year. It just means that the Blackrod project is progressing extremely well, and we are very proud of that, and the team is doing it.
Mark Wilson: Okay. Thank you. I shall hand over.
Operator: Thank you. It appears that we have no further questions. So, I will hand back to your host. Please go ahead, sir.
Rebecca Gordon: Okay. We have a couple of questions online. The first one is on Malaysian operations, could there be some drilling in 2025?
William Lundin: Yes, there is a very intriguing opportunity in Malaysia. We actually have a couple of well locations that we are holding in our contingent resources within the Northeast structure. We think there is some un-drained oil potential that needs to be accessed through another penetration in the reservoir there. So, largely going to be a capital allocation decision, whether we sanction that project for 2025 or not. The point being there is further upside drilling potential in Malaysia, but not definitive at this point in time whether it would go forward in 2025 or not.
Rebecca Gordon: Okay. And then moving to Canada, what activities are on the critical path for Blackrod? And how much delay risk do they have?
William Lundin: Yes, on Blackrod, when we sanctioned this project in the beginning of 2023, we made sure to put some provisions in place, whether that would be schedule allowances or contingencies, we took USD110 million contingency provision for this project, and we are happy that a lot of that contingency hasn’t been consumed so far since the project was sanctioned. As we look forward to the critical path activities for this project, it’s similar to what I had noted at the prior quarter, which is ultimately the detailed sequencing and phasing of events as it relates to having the equipment delivered to the fabrication shop, getting the modules assembled and delivering the modules to the CPF and ensuring that your CPF is ready to accept all of those modules for the overall installation at site. So, if you look at mechanical, electrical, all long lead equipment has been ordered. Everything continues to track in accordance with plan on this project. So, there is not really one particular item as it relates to a critical path that’s going to potentially compromise the overall schedule or budget there. It’s going to be things that are in our control, continuing to maintain that and things that are outside of our control, whether it would be weather events or extreme weather events, those type of things can potentially impact some of the productivity and efficiency that we are seeing. But with the provisions that we have implemented into this project from a cost and schedule standpoint, we feel really well positioned to deliver within the budget even if there are some hiccups or extreme weather events that take place. And another part of the key scopes here is the connection, the pipeline connections to this project. So, TransCanada spinout in Bow South is going to be taking care of the natural gas and Dilbit pipeline to be installed at the Blackrod project, and those pipelines continue to progress and are being installed through this winter period. Also, the Diluent line is already put in place and just the locked unit is needed to be installed. So, we sit well in order to deliver on the Blackrod project and the other key scope being drilling is definitely not a critical path item, and we are achieving really good rates in terms of the pace of drilling that we have seen so far. Also the costs have been coming in line with expectation.
Rebecca Gordon: Thank you. The next question is, what are your thoughts on the draft regulations on the missions released yesterday in Canada?
William Lundin: Yes. No one anticipated there could be a question on this. It was just announced yesterday. Yesterday, I think it was later in the afternoon in Canada. So, this emissions cap proposal that’s been proposed by the Federal Government, it targets a 26% emission reduction come 2030 using 2026 as the baseline year. And so this is a new regulation that is being rolled out. And as one would expect, there is quite a lot of pushback from industry on this type of proposal. What we have been doing, and we have a very prudent approach as it relates to our emissions management strategy for IPC is we have been working on CCS implementation at Onion Lake Thermal. And I should say, study work specifically to start to determine if we want to go forward with an implementation of carbon capture and storage facilities within our Onion Lake Thermal asset specifically. And if we were to do that at OLT, we would be in compliance of this proposed framework. Now that was a part of the prudence in our strategy that despite this formal regulation not being out yet, we still set a budget this year to spend around $1 million at that asset further looking into the studies. And so I do think that this, in general is a punitive proposal from the liberal government that’s been put out. There is no other exploration producing country or oil-producing country, I shall say, that has this type of framework in place. And there is an election also that happens in October of 2025. Nevertheless, we will still do our part and continue to assess implementing some serious emission-reducing technologies, and we will continue to evaluate the impact of what that may be on the business.
Rebecca Gordon: Thank you, Will. And the next question is to Christophe regarding financing. What terms and amounts would be available to you for secured financing right now? And any color on availability, credit margins and if there would be any hedging requirements is much appreciated.
Christophe Nerguararian: Yes. No, we are very happy that we have good relationships with Canadian banks. And so they are making this $180 million revolving credit facility available to us that’s fully committed, fully available, fully undrawn. I think it’s fair to assume that we could raise more under that revolving credit facility if we needed. So, whether in – if we needed more for current operations, if we needed more for an acquisition, I believe that there is certainly some appetite to support IPC from those Canadian banks and from some other Canadian banks whom we talk to regularly as well. In terms of credit, I mean they are reasonably standard. You can assume around base rate plus 3%. It depends on the leverage. But so it’s not dissimilar to the coupon we are paying to the bonds. Good news is that there are usually no hedging requirements attached to those loans. And again, the balance sheet remains in a strong position, and we have no doubt that we could raise more financing, more debt if we needed to.
Rebecca Gordon: Thank you, Christophe and that’s all we have time for today.
William Lundin: Okay. Well, thanks very much everyone for tuning in to the update presentation and a special thanks to all IPC personnel across the globe for delivering another good performance through the third quarter, and we look forward to updating everyone next time at – in early February for the year-end results presentation and Capital Markets Day update. Thank you.